Operator: Greetings and welcome to the Reliance Steel and Aluminum Company Third Quarter 2019 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Brenda Miyamoto, Investor Relations. Thank you. You may now begin.
Brenda Miyamoto: Thank you, operator. Good morning and thanks to all of you for joining our conference call to discuss our third quarter 2019 financial results. I'm joined by Jim Hoffman, our President and CEO; and Karla Lewis, our Senior Executive Vice President and CFO; Bill Sales, our Executive Vice President of Operations will also be available during the question-and-answer portion of this call. A recording of this call will be posted on the Investors section of our website at investor.rsac.com. The press release and the information on this call may contain certain forward-looking statements which are based on a number of assumptions that are subject to change and involve known and unknown risks, uncertainties or other factors, which may not be under the company's control, which may cause the actual results, performance or achievement of the company to be materially different from the results, performance or other expectations implied by these forward-looking statements. These factors include, but are not limited to those factors disclosed in the company's Annual Report on Form 10-K for the year ended December 31, 2018 under the caption Risk Factors and other reports filed with the Securities and Exchange Commission. The press release and the information on this call speak only as of today's date and the company disclaims any duty to update the information provided therein and herein. I will now turn the call over to Jim Hoffman, President and CEO of Reliance.
Jim Hoffman: Thank you, Brenda. Good morning, everyone, and thank you for joining us today. I'm very pleased to discuss our 2019 third quarter results with you today. But first, I would like to address safety and thank everyone for the progress we're making in this area. Safety remains our primary core value and I applaud each of my Reliance colleagues for their relentless commitment to safety each and every moment, each and every day. Turning to our financial performance in the third quarter of 2019. We continue to execute our strategy of focusing on high levels of customer service across diverse products and end markets with increasing levels of value-added processing, which once again produced strong financial results. Demand was somewhat better than we anticipated, which along with outstanding performance by our managers in the field generated quarterly net sales of $2.69 billion and a gross profit margin of 30.3%. We believe our third quarter 2019 financial results including diluted earnings per share of $2.40, an increase of 18.2% year-over-year further highlight our unique business model and improved earnings power as well as our increased resilience to fluctuations in metals pricing. Our shipments in the third quarter were higher than we had anticipated, driven mainly by demand strength in non-residential construction. We also experienced an increase in shipments of stainless steel products, which we believe reflects a change in buying patterns due to increased nickel surcharges. While many of our businesses experienced the normal seasonal trend of lower shipping volumes compared to the second quarter, the declines were generally less than in prior years. Our tons sold in third quarter of 2019 declined only 2% from the second quarter of 2019, significantly better than the industry decline of 3.7% as reported by the MSCI for the same period. We believe our industry-leading performance is a testament to our key business model characteristics including small order sizes on when-needed basis often delivered within 24 hours. While demand surpassed our expectations, metal pricing for the third quarter was weaker than we anticipated. Our average selling price per ton sold declined 5.1% compared to the second quarter of 2019, substantially exceeding our expectation of down 1.5% to 2.5%. At the time we provided third quarter guidance, multiple mill price increases had been announced for certain carbon steel products. However, these increases did not hold and we ended the quarter with prices even lower than before the increases were announced. In addition, carbon steel scrap prices also declined during the quarter. Despite the fact that overall pricing conditions in the third quarter was softer than anticipated, our proven business model, including our broad end-market exposure, diverse product offerings, small order sizes and expensive value-added processing capabilities and most importantly, consistent and reliable customer service helped reduce the impact of declining prices on our financial results. Our managers in the field are instrumental in our ability to maintain our industry-leading gross profit margins throughout industry cycles. Although metal prices declined more than we had anticipated, our managers' disciplined focus on high-quality, high-margin business coupled with increased levels of value-added processing enabled us to maintain a FIFO gross profit margin in line with the second quarter 2019 at 28.8%. We continue to increase the amount and level of value-added processing services that we perform, mainly to address the request of our customers and we will continue to seek opportunities to expand our value-added service offerings and capabilities to do even more for our customers. Turning to market conditions in our key end markets. Demand in non-residential construction, the largest end market we serve was stronger than anticipated. Contrary to normal seasonal trends we experienced increased shipment volumes of carbon steel structural and tubing products in the third quarter of 2019 compared to the second quarter and we look forward to this trend continuing. Demand for processing services we provide to the automotive market which we service mainly through our toll processing operations in the U.S. and Mexico remain strong in the third quarter. The strength of underlying demand trends driven by increasing levels of aluminum content in vehicles combined with our proactive investments in facilities and value-added processing equipment gives us confidence that our position in the automotive market will continue to improve. Following the completion of a 150,000-square-foot building expansion and installation of an -- and the addition of an aluminum slitting line in Kentucky in the second quarter of 2019, our volumes are increasing as production continues to ramp up. We're also in the process of expanding three of our toll processing operations in Mexico to better support existing automotive activity in that region. As such we maintain our positive outlook for growth in our toll processing operations. Aerospace demand also remained healthy throughout the quarter with a continued solid order backlog and steady mill lead-times. As a reminder the majority of our sales into the aerospace market consist of heat-treated aluminum products mainly plate as well as specially stainless steel and titanium products. The 5% mill price increase on heat-treated aluminum plate which became effective in August and has full market support benefited our third quarter sales into the aerospace market. Demand for common alloy aluminum sheet remained steady throughout the quarter. However, common alloy aluminum sheet availability has been increasing from the tight levels experienced in the first half of the year which has continued to pressure pricing into the fourth quarter. As I mentioned earlier, our stainless steel shipments increased during the quarter which we believe was a result of customers' pre-buying activity in advance of increased nickel surcharges scheduled to take effect. Demand in heavy industry both agriculture and construction equipment weakened somewhat during the quarter. We expect activity to remain at similar levels in the near-term. Demand for energy, which is mainly oil and natural gas, has been slowing. Despite production being up year-to-date with more efficient wells, drilling and completion activity has remained soft with declining rig counts. We anticipate continued low activity in this market for the remainder of 2019. Turning to capital allocation, we continue to efficiently and strategically allocate our cash generated by our strong cash flow from operation. We recently increased our 2019 capital expenditure budget to $260 million from our prior budget of $245 million to help support our growth activities, better meet our customers' needs, improve the safety of our operations, and enhance the working environment for our employees. These capital investments include the addition of new innovative equipment and advanced technology as well as facility upgrades and expansion. As a part of our growth initiatives, we continue to identify new opportunities to expand our value-added processing capabilities to promote margin expansion and drive greater earnings power. We're also seeing significant number of acquisition opportunities in the market. Though we remain selective and disciplined, we continue to look for targets that meet our strict criteria of high-quality business with experienced management teams and superior levels of customer service. Acquisitions must also complement our product and end-market diversification strategy and be immediately accretive to our earnings. Through our capital return activities, we continue to pay our regular quarterly dividend as we have done now for 60 consecutive years. Before I conclude, I'd like to highlight a few recent changes we've made to our Board of Directors this past month. On October 3rd, we welcome Lisa Baldwin as a new Independent Director. Lisa brings a wealth of knowledge and experience in information technology having served as a Chief Information Officer at Tiffany & Company since 2013. We believe Lisa's nearly 25 years of extensive IT experience will benefit Reliance as we continue to implement innovative technologies and empower our business. Additionally, following Gregg Mollins retirement as Chief Executive Officer of Reliance at the end of the year, Gregg officially stepped down from the Board of Directors earlier this week. As part of a delivered long-term succession plan, I was appointed to the Board concurrent with Gregg's retirement. On behalf of the entire team here at Reliance, I'd like to acknowledge and thank Gregg for more than 25 years of service on the Board and for his dedication to Reliance. In summary, we are proud of our third quarter results, which tells to our strong strategy of focusing on high quality, high margin business and our longstanding commitment to being responsible and efficient stewards of capital. During a period of declining metal prices that were steeper than we anticipated, our proven business strategy helped us generate a strong gross profit margin, which translated to growth in our earnings per share despite our sales being down year-over-year. I'd like to once again thank our managers in the field for their excellent execution and pricing discipline. Looking ahead, we will maintain our focus on maximizing our earnings and delivering long-term shareholder value. Thank you for your attention today. I will now turn the call over to Karla to review our third quarter financial results and fourth quarter 2019 outlook in more detail.
Karla Lewis: Thanks, Jim, and good morning, everyone. Net sales in the third quarter of 2019 decreased 6.9% from the second quarter of 2019, mainly due to lower shipments from normal seasonality trends along with continued downward pricing pressure. Our tons sold decreased 2% compared to the second quarter of 2019, which was better than our expectation of down 4% to 6%, primarily due to stronger demand in non-residential construction. Our average selling price per ton sold was down 5.1% compared to the second quarter of 2019 outside of our expected range of down 1.5% to 2.5% due to overall weaker pricing fundamentals for many of the products we sell in particular certain carbon steel products whose price is dependent upon scrap cost. As Jim highlighted, our gross profit margin for the third quarter of 2019 was 30.3% above our estimated sustainable range of 27% to 29%. This is a direct result of the outstanding performance by our managers in the field who continue to maintain pricing discipline by focusing on higher margin orders and providing more value to our customers through our ongoing investments in value-added processing equipment. In addition, our use of the LIFO inventory valuation method reduces the volatility of our gross profit margin in earnings resulting from fluctuating metal costs. Since metal prices decreased more than we expected in the third quarter of 2019, we have increased our estimated full year LIFO income to $100 million from our previous estimate of $70 million. As a result we recorded LIFO income of $40 million or $0.44 of earnings per diluted share in the third quarter of 2019 compared to LIFO income of $22.5 million or $0.25 of earnings per share in the second quarter 2019. And given our current estimate of $100 million of annual LIFO income in 2019, we expect to record $25 million of LIFO income in the fourth quarter 2019. If you recall, we recorded LIFO expense of $271.8 million in the full year 2018 when metal prices were rising. This increased our LIFO reserve to $293.6 million as of December 31, 2018. As we explained at the time, this reserve will decrease as metal prices decline, which has been the case so far in 2019. This has created LIFO income that has increased our gross profit margin and earnings in each of the first three quarters of 2019. With our current estimate of $100 million of LIFO income in 2019, our LIFO reserve at year-end is expected to be $193.6 million, which will remain available to support our gross profit margin in earnings -- and earnings in 2020 and beyond if metal prices continue to decrease from 2019 year-end levels. Our third quarter SG&A expenses of $518.7 million declined $12.7 million from the second quarter of 2019 with our headcount decreasing by 2.8% on a 2% reduction in tons sold. Employee-related cost represent approximately 60% to 65% of our SG&A expenses and the headcount reduction reflects our continued focus on expense control and our ability to respond quickly to market conditions. Our effective income tax rate for the third quarter was 25%, up from 22.9% in the third quarter of 2018. We expect our effective tax rate for the full year of 2019 to be approximately 25%, up from our full year 2018 tax rate of 24.5% primarily due to increased state income taxes. Net income attributable to Reliance for the third quarter of 2019 was $162.7 million, or $2.40 per diluted share compared to $148.3 million, or $2.03 in the third quarter of 2018, which included a $36.8 million impairment and restructuring charge. Our non-GAAP earnings per diluted share were $2.39 in the third quarter of 2019, compared to $2.42 in the third quarter of 2018. A reconciliation of our non-GAAP earnings per share can be found in our earnings release issued earlier today. Also, please note that our guidance range for non-GAAP earnings per share of $1.90 to $2 in the third quarter of 2019 assume LIFO income would contributed $0.19 per share. This would have resulted in $2.15 of earnings per diluted share well above the top end of our guidance range. The increase of our annual LIFO income estimate to $100 million resulted in an additional $0.25 of earnings per share bringing our reported earnings per share to $2.40. Our third quarter 2019 earnings per share also benefited by $0.18 per share compared to the third quarter of 2018, due to fewer shares outstanding as a result of our record share repurchases in 2018. And turning to our balance sheet and cash flow, we generated strong cash flow from operations of $490.9 million during the third quarter of 2019 and $954.1 million for the first nine months of 2019 with a focused reduction of inventory levels. We invested $58.9 million in capital expenditures and paid regular cash dividend of $36.8 million to our stockholders in the third quarter of 2019. In addition, we paid down $367.5 million of our outstanding debt during the quarter. At September 30, 2019, we had $1.65 billion of total outstanding debt and $1.05 billion available on our $1.5 billion credit facility resulting in a net debt to total capital ratio of 22.6%. We are very well-positioned to continue executing on all of our capital allocation strategies going forward. Turning to our outlook. We remain optimistic about business conditions in the fourth quarter of 2019. We expect that end demand will remain relatively steady, excluding the impact of normal seasonal patterns, which generally includes a decline in shipping volume due to customer holiday-related closures and fewer shipping days compared to the third quarter. As a result, we estimate our tons sold in the fourth quarter of 2019 will be down 4% to 7% compared to the third quarter of 2019. We also expect that overall metals pricing will remain near current levels, which we estimate to result in our average selling price in the fourth quarter of 2019 declining 2% to 3% compared to the third quarter of 2019. Accordingly, we currently expect non-GAAP earnings per diluted share to be in the range of $1.60 to $1.70 for the fourth quarter of 2019. In closing, we are very pleased with our third quarter 2019 financial results, which exceeded our expectations. Excellent execution of our strategic focus on high levels of customer service across diverse products and end markets by all of our employees in the Reliance family of companies resulted in yet another quarter of strong earnings and significant cash flow supporting our growth and stockholder return priorities. That concludes our prepared remarks. Thank you for your attention. And at this time, we would like to open the call up to questions. Operator?
Operator: Thank you. We will now be conducing a question-and-answer session. [Operator Instructions] Our first question comes from the line of Martin Englert with Jefferies. Please proceed with your question.
Martin Englert: Hi. Good morning, everyone.
Jim Hoffman: Good morning.
Karla Lewis: Good morning.
Martin Englert: So the better than expected volumes were encouraging on the quarter. Based on what you're seeing today with activity also speaking with your customers regarding their outlooks, would you expect that by the time we get into early 2020, we're going to start to see positive volume growth year-on-year?
Jim Hoffman : Yes Martin. This is Jim. We certainly hope so. Our -- look again we -- our customer base, they're doing just fine. We had better-than-expected third quarter and the fourth quarter as you can see on our guidance reflects the seasonal traditional kind of downturn, but we also have some tailwind. The non-res construction was nice, bit of a surprise, but not really. There were some -- we knew some good things going on out there and we anticipate good things to continue in the fourth quarter. So by the time next year hits, it's kind of interesting how things work up. Usually the first quarter and the second quarter are Reliance's strongest quarters. So I anticipate that happening again in 2020.
Martin Englert: Okay. Thanks for the detail there. And then also one thing stuck out on the volume categories there, the other volume category that's kind of implied outside of the categorized volume stepped up, I believe notably quarter-on-quarter. Could you talk about maybe what's in that mix, what was driving that and kind of how you would expect that trend moving forward?
Karla Lewis: In quarter-on-quarter are you talking Q2 to Q3 of 2019 or Q3 2018 to Q3 2019?
Martin Englert: The sequential of 2019 correct 2 to 3.
Karla Lewis: Yes. So in that category a lot of what's in there are fabricated products so to speak in some of our higher-end value add. Also in there a big component are our scrap sales. When Reliance produces scrap, we also were able to have that recycled. So all of those scrap sales go into the category, but really strength within our fabricated products, we continue to grow that. Some of the smaller acquisitions, we completed over the last year or two has grown not necessarily Q2 to Q3, but that has been growing our other sales. Also in there we have brass, copper miscellaneous other products, our perforated metal products. We consider fab. So just kind of a mix of everything other really than what we have in there, but I think our focus on the value-add and higher levels of value-added processing are the main drivers in there.
Martin Englert: Okay. Thanks for the detail there. If I could one last quick one, what would prompt you to increase your sustainable LIFO gross margin range having we've seen pretty solid results trending here for a while? Maybe when could we expect that or what I guess indicators are you looking at before you would revise that higher?
Jim Hoffman: One of these days, I'm going to wake up and feel like we should do that. But right now we are conservative. It took us a while to kind of feel the trend is more than just a trend it's something -- it is sustainable. So we're looking at that. We're looking at that and we're going to continue to drive our model of more and more and more value added and also our customers keep asking us to do more and more. So those things continue to do so and we feel good about it. We will be the first ones to know.
Karla Lewis: We anticipated that comment probably by someone on the call today. And I think we've said over a longer term based on what we're seeing like Jim said, we expect to continue to grow the value add we're doing. With that we expect to incrementally raise that range, but we're not ready to do so today.
Martin Englert: Okay. Excellent, thanks for the color there and very impressive result. Congratulations.
Jim Hoffman: Thanks very much.
Operator: Our next question comes from the line of Matthew Korn with Goldman Sachs. Please proceed with your question.
Hunter Alley: This is Hunter Alley from Goldman Sachs on for Matthew Korn. Quick one from me. So shipments came in much better than you all expected. I know you discussed it a little bit in your prepared remarks, but could you please elaborate a little bit more on what end market surprised you most? And is there anything specific in the market that you're seeing that is driving this?
Jim Hoffman: We've mentioned our non-res construction. We knew there is a little tailwind. If you remember back in the second quarter there were some weather concerns across the North America and we -- there were some let's just call pent-up kind of demand orders that were on the books that we weren't able to get to or unable to ship. There was some steel kind of stuck in the soil and rivers and what have you. So we knew there is going to be a little bit of that. So I think that's what we saw. And I'm not -- I wouldn't be surprised if that doesn't continue in the fourth quarter, but those would be the ones that we would really point to. Of course our automotive that continues to be strong. Even though the GM strike, I think still continues like they're trying to ratify here soon. That affected us towards the end of the quarter more than did in the first of the quarter, but so now you have some pent-up demand there too. So we'll see how that plays out but non-res was a bit of a surprise, but not a huge surprise.
Karla Lewis: And I think to that point -- to Jim's point that non-res wasn't much of a surprise because a bit of it was timing. So our Q2 tons while they were strong and they were good, I think we're not quite as strong as we've seen in prior years. So the decline coming into Q3 wasn't as much.
Jim Hoffman: Yes. And don't forget about aerospace, that's a good one for us. That's a good one remains good backlog is nice. The prices are going up, say, all should be going up in my opinion, but those are going up and holding. So that's a good market for us as well.
Hunter Alley: Got it. Thank you. That's very helpful. And then, regarding the non-residential, I mean, is there any particular region or any particular project that you're seeing that's driving that strength?
Jim Hoffman: No. It's kind of all over, all over the map, strong West. Northeast have been doing well for a long period of time. Southeast doing quite well, as far as the project themselves, kind of usual suspects. We're not the ones that get the big 40, 50 story high-rise that goes more direct. No, our sweet spot is kind of in institutional-type businesses, if you will, dormitories universities, what have you, assisted living facilities, which helps. Demographics will continue to drive that number up. So those kinds. The big campus-type projects that we had been around for the last couple of years, there's still some of those that we were involved in and – but it's kind of across the map. But, again, really we're -- our sweet spot is our sweet spot and that happens to be good right now and has been good for last couple of years.
Hunter Alley: Great. Thank you. That’s all for me and congratulations of the strong quarter.
Karla Lewis: Thanks, Hunter.
Jim Hoffman: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Phil Gibbs with KeyBanc Capital Markets. Please proceed with your question.
Phil Gibbs: Hey, good morning. I know restructuring and cutting costs are always hard. I think, Karla, you mentioned that there was some of that in the third quarter. Where was that specifically targeted at in terms of the end markets of the business?
Jim Hoffman: Phil, you know our company. We run our company in a day-to-day week-to-week month-to-month. And when we see weakness and we think that the weakness is going to continue, we just do the right thing. We look at our headcount, we look at our expenses. And if we think it's going to be continued to be weak, we'll call it rightsizing. Whether it's in headcount or inventory control, or whatever, it's the same thing we've been doing for a long period of time. We're very disciplined when it comes to that. And we could go through every market. Energy has been tough and we think will remain a little tough, so there were some cuts there. Strong -- where we have a strong business, we probably add it. We're always continuing to invest in innovation and IT type things. Those maybe going up a little bit, but it's just kind of company-by-company, market-by-market and I can tell you exactly where they all are, but we'll continue to look at that. We always do that. Even when all the -- even when business is good, we look for ways to be more efficient and provide better value for our investors so…
Karla Lewis: Yes. And it wasn't a new directive in the third quarter, Phil, certainly were in locations, sometimes geographic, sometimes its end market, we just try to keep our expenses in line with our shipment volumes and our profitability levels, but just because we didn't call out any reductions in Q2 or Q1 at each of our individual businesses, as Jim said, kind of day-to-day week-to-week there rightsizing. So there has been some headcount and hiring activity in all quarters. It was just a little more significant this quarter and we commented on it.
Phil Gibbs: Okay. Thank you for that. And then, in terms of the CapEx budget for this year, I think, last comment was maybe $245 million. That looks like it's going to be the case again based on your trends to date. Should we expect another strong growth CapEx budget in 2020 just given the continued migration of business and the capabilities?
Jim Hoffman: Yes. We have a good thing going, Phil. We've got a model at work, so we're going to continue to invest where we think is the right place to invest. The new technologies out there is expensive and we've got the money to do it. And we'll continue to listen to our customers. Our customers are going to continue to ask us to do more and more in the innovative equipment that's available. It's really, really great stuff. So we'll continue to invest there. As always, some -- you guys figured, there's always $90 million or $100 million a year on just, what we call, maintenance but it's really not. It's just maintaining what we have, but even maintaining the equipment we have, it's all higher quality equipment that we can actually raise our margins, because there we have tighter tolerances on. So we don't mind. We're a company that likes to own the businesses we operate out of. We'll continue to buy buildings that we don't own. Sometimes, when you do an acquisition at the time you like to hold on to some real estate for a period of time and once it becomes clear we jump in and invest in that. My guess is as our business continues to grow and our model continues to do well that we'll expand and have a lot of internal growth, which is my favorite kind of growth. We can control that and, yes, so it's -- my guess is, we'll continue to spend, maybe not at that $245 million $260 million level, but we'll see. We'll see.
Karla Lewis: And just to clarify Phil, in Jim's comments in his script, he mentioned that we just increase the 2019 budget from $245 million to $260 million and that was just really some maintenance and growth opportunities that came up during the year. We typically build our CapEx budget once a year. We're in the process of doing that right now. So when we talk to you guys again in February, we'll be able to give you a better number on what our 2020 budget will be.
Phil Gibbs: I appreciate that. I think I missed it. And specifically to the semiconductor market, I know, it's been weak. It's a very high margin business for you. So, interestingly, you're putting up very good numbers without a tailwind there, any thoughts on that market right now and if and when it stabilizes?
Bill Sales: Yeah. Hey, Phil, it's Bill.
Phil Gibbs: Hey, Bill.
Bill Sales: As we've said, semiconductor still remains soft. We're looking for some kind of rebound as we get into next year. It seems like we slide the window a little bit. We were thinking maybe Q1 next year. We probably push that out maybe until mid-year next year where we start to see some rebound in that business, but we know it will come back and so while it's not doing as well as it had been doing, it is still doing pretty well for us and we look forward to that recovery time-frame and we will be well positioned for that.
Jim Hoffman: Phil, just add on that, I think that and you know this – it speaks to the strength of our model that we can have a whole industry that's down, slower or slowing and continue to grow value in our stock and that certainly is one that has been down for a couple of quarters now, energy has been down a little bit, but we've a lot of other markets and a lot of other products that are doing quite well.
Phil Gibbs: Thanks. Just interesting to note that your gross margins were solid and stable and expanded a little bit on a LIFO basis and Grainger's and Fastenal's fell so interesting.
Jim Hoffman: That's pretty good mojo, isn't it Phil?
Phil Gibbs: Mojo's rising.
Operator: Our next question comes from the line of Seth Rosenfeld with Exane. Please proceed with your question.
Seth Rosenfeld: Hi, thank you for taking the questions. I have a couple. First one construction then moving over to just broader industry inventory level. With regards to construction, I think you've referenced in the past Reliance having pretty significant excess capacity in construction related distribution and processing. With demand now picking up what upside could we see from your construction shipments with existing capacity before further investments might be needed? Is there any impact we should expect from that the fixed cost leverage, historically lag or assets start there please?
Karla Lewis: Yeah. Hi, Seth and I apologize, it was kind of hard to hear the beginning part of your question, but I think you were asking about our ability to leverage our fixed cost structure in our existing non-res business that we've talked about before. And even with shipment volumes being up a bit, we still have pretty substantial amount of additional capacity where we could run volume through. We've talked in prior quarters about the fact that over the last probably 8-ish years now we've been continuing to invest in additional value-added processing equipment in those businesses. So we're doing well in those businesses on the volumes that are going through, so we're probably in most of those non-res businesses, we're probably still down volume-wise on average for the year 20%. So, we still have pretty decent amount of additional volume that we could leverage our current fixed cost structure.
Seth Rosenfeld: That's great. Thank you. And then more generally for the industry at large, we've obviously seen a very aggressive year of destocking for peers across service centers and it's contributing to your working capital release in Q3 as well. Looking across the marketplace, do you see some of your competitors sitting on essentially unsustainably low inventories that need to be replenished or we at a new sustainable level? Given this is former are you gaining share from these peers who have aggressively cut – perhaps too aggressively cut their inventories? And then lastly any comment on working capital expectations into year-end? Thank you.
Jim Hoffman: I'll handle the first part. As far as our competitors, we don't spend a whole lot of time worrying about what our competitors do. We worry about what our customers are doing. We worry about what our suppliers are doing. As far as destocking of inventory, I have never liked that term because we don't do that. What we do is order inventory in anticipation of what our customers are going to buy. We continue to do that. I don't know. With our competitors buy offshore that's their thing and that's not ours, we've always been a domestic supporter, 95% of the carbon we buy is domestic for a reason, not that we don't love those guys, because we do, they are great at what they do, and we care about the North American manufacturing market, but we understand cash is king and when you're buying domestically, that helps with your inventory terms and that's something we're going to continue to do. So destocking, restocking, Reliance just kind of – we do what we do, and I will continue to do that and our inventories is in fine shape and I don't know about anybody else's inventory.
Karla Lewis: Yeah. And I think Seth, as I commented on we did have a focus on inventory reductions and we've talked about that, we've had that for the year. We felt we are probably like a lot of other companies bought a little heavy in 2018. There was a little I think confusion so to speak in the market with how much was pre-buying by some metal customers in the second quarter of 2018. So we had a focus on reducing inventory level, throughout this year we've been making progress. We had some good improvement during the third quarter. We generated about $157 million of cash flow from operations just from inventory reduction during Q3 from June 30. Part of that, a little bit of that is lower pricing obviously throws off some dollars but we also had a focus on reducing our level to be in where Jim talked about, kind of, rightsizing the inventory. We’re not at our inventory turn goal yet for the year but we're getting pretty close and so we think we’re in good shape, which feeds into your question on working capital levels from now to the remainder of the year. So with lower shipment volumes typically we release working capital in the fourth quarter. So we would expect to generate a little more cash from operations. It's been very strong in the first three quarters already of this year. So with our continued expectation of maintaining gross profit margin level, which throws off good profit levels for us to generate cash along with the shipment volumes reducing our working capital levels, we do expect good cash flow again in the fourth quarter.
Seth Rosenfeld: Okay. Thank you very much.
Operator: Our next question is a follow-up question from the line of Martin Englert with Jefferies. Please proceed with your question.
Martin Englert: Hi, thanks for the time on the follow-up. I wanted to see if you could touch on your aluminum business. Volumes were a little bit lower year-on-year I believe. And then maybe if you could also contrast that on aluminum tolling business and what you're seeing with volume activity there?
Bill Sales: Well, I think – Martin, it's Bill Sales. Yeah, the aluminum business a lot of that with common alloy side, we're seeing that market a little softer both on the demand and on the pricing front and in contrast on the heat treat side that business has stayed relatively strong. The aluminum we continue to grow on the toll processing side for aluminum as the aluminum content in automotive continues to increase and our investments that we made on the toll processing side a lot of that has been focused on the aluminum side. So, we see continued increase there from a toll processing standpoint.
Martin Englert: Okay. And as a quick follow-up to that, can you speak to the margins on aluminum toll processing versus carbon toll processing? And then also how you see availability on the heat-treated aluminum plate side of things both aero and general engineering?
Jim Hoffman: First of all, we don't comment on the margin. So I'll skip back question and on the heat-treat side for aluminum plate, we still see that market fairly strong. Lead times at the mills are still extended. There is still a little bit of tightness on the supply side. So that business we think will continue to stay strong, looks like the outlook for 2020 continues to be very positive.
Martin Englert: Do you think that you take a step up in heat-treat aluminum volumes in 2020 or it just remains at an elevated level like what we're seeing today?
Jim Hoffman: We think -- our outlook is we think the strength, the demand picture that we're seeing now will continue in 2020.
Martin Englert: Okay. Excellent. Thanks for the incremental detail there.
Jim Hoffman: Okay.
Operator: There are no further questions in the queue. I'd like to hand the call back to Jim Hoffman for closing remarks.
Jim Hoffman: Thank you very much. We'd like to thank everyone on the call today for your continued support and commitment to Reliance. We'd also like to thank those of you who attended our Analyst and Investor Day back in September. For those of you who are unable to join us an archive video webcast and a corresponding presentation can be found on the Investor Section of our website at www.rsac.com. Lastly I'd like to remember -- to remind you all that we'll be in New York City next month presenting at the Goldman Sachs Global Metals and Mining Conference and also at the Cowen Chemical Metals and Mining Summit. We hope to see some of you there and I hope you enjoy the rest of your day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.